Operator: Good morning ladies and gentlemen and welcome to the Institutional Financial Markets third quarter earnings conference call. My name is Melisa and I will be your operator for today. At this time, all participants have been placed in a listen-only mode. Following formal remarks, the call will be open to a question-and-answer session and instructions will be provided at that time. As a reminder, this conference call is being recorded. Before we begin, IFMI would like to remind everyone that some of the statements the company makes during the call may contain forward-looking statements under applicable securities laws. These statements may involve risks and uncertainties that could cause the company’s actual results to differ materially from the results discussed in such forward-looking statements. The forward-looking statements made during this call are made only as of the date of this call and the company undertakes no obligation to update such statements to reflect subsequent events or circumstances. IFMI advises you to read the cautionary note regarding forward-looking statements in its earnings release and its most recent Annual Report on Form 10-K filed with the SEC. Please note also that in the company’s quarterly earnings release for the third quarter of 2011, the non-GAAP measures have been reconciled to GAAP measures in accordance with SEC regulations. I would now like to turn the call over to Mr. Daniel Cohen, Chairman and CEO of IFMI.
Daniel Cohen: Thank you, Melissa and thank you everybody for joining us for our third quarter 2011 earnings call. With me on the call are John Costas, Chairman of PrinceRidge; and Joe Pooler, our CFO. As many of you know the strong headwinds that have persisted throughout our industry over the past several years remained and seem to have strengthened somewhat in the last quarter. And our results like those of many of our peers continue to be affected by the deterioration of trading volumes in the fixed income market. While they caused deterioration, we believe we are dealing with them forcefully. The current-year periods do include revenue from our PrinceRidge and JVB operating subsidiaries which were acquired in 2011. However, the extreme weakness in the current capital markets, more than offset the impact of these acquisitions. In all, we had an adjusted operating loss of $4.3 million in the third quarter as compared to an adjusted operating income of $6.6 million in the third quarter of 2010. While we are disappointed with our results for the quarter, we have adapted and continue to adapt and in response have implemented significant cost saving measures in the third quarter. These initiatives included the termination of staff, reduction in compensation and benefits of certain remaining staff, savings relating to the sub lease and termination of duplicative leases and termination of or reduction in pricing of subscriptions. We merged PrinceRidge into Cohen & Company Capital Markets during the third quarter and did not react at the beginning, but rather at the end of the third quarter. Still the total results of these efforts are anticipated to result in excess of $10 million in annualized saving. While decision like these are always difficult given the market environment, we believe lowering our fixed costs and focusing on the most profitable business lines is a prudent step that will allow us to better take advantage of the market when conditions improve. Accordingly, we’re building the foundation and team to advance our growth strategies and delivering enhanced stockholder returns in months and years to come. We believe that we have strong leadership in this business and we’ll be able to come out strongly on top. As of September 30, 2011, our total permanent equity was $81.8 million. I will note that our principal investments continued to contribute positively and we did shrink our balance sheet by over 20% in response to difficult market environments that fail to have any direction. Despite the current quarter’s loss, we are choosing to continue to return value to our stockholders through a $0.05 dividend for the quarter. As always, we will carefully review our dividend policies going forward. With that, John will talk about our capital markets business.
John Costas: Thank you, Daniel. The capital markets business against the backdrop and environment Daniel outlined, took some aggressive measures during the quarter to orient the business for the future. The reduction in costs, both along personnel costs which reduced to approximately 20% as well the reduction of leverage in the business took place out and ahead of some of the recent market volatility of the last couple of weeks positioning the business well to be able to offset the environmental headwinds that again Daniel outlined. The businesses that continue to do well, we continue to invest in are high-yield business, our middle-markets business and a distinct focus on heading banking capability for the investment banking business. We have also resisted as again it has been in the news over the last couple of weeks, any focus on proprietary trading and I want to stress that the business is oriented in building our client, facing and client oriented investment banking businesses. So as we enter into the fourth quarter, the streamlined business of roughly 20%, lighter cost structure added the capability in the investment banking areas, added focus on building out the high yield sales and trading business and the middle-markets business will be in orientation that we continue to pursue throughout the remainder of the year. With that, I would like to hand it over to Joe who will talk over some of the period’s financial highlights in more detail.
Joe Pooler: Thank you, John. In our statement of operations, we generated an adjusted operating loan of $4.3 million or $0.27 per fully diluted share, an explanation of our metric of adjusted operating loss is included in our earnings release. Our net trading revenue was basically flat compared to the prior-year quarter at $14 million despite the current year periods including revenue from our acquisitions of PrinceRidge and JVB. The revenue generated by the acquisitions was more than offset by the unfavorable market conditions. As a reminder with the closing of the PrinceRidge transaction on June 1, our third quarter results include a full quarter of PrinceRidge results. We continue to deploy some risk capital in our capital markets trading businesses. At quarter end, we had $65 million of net equity capital invested in our net trading portfolio. Our management revenue decreased from $6 million in the prior-year quarter to $5.3 million in 2011. The decrease is primarily the result of reductions in revenue due to the sale of our Strategos Fund management contract as reported at the end of the first quarter. Our principal transactions and other revenue for the third quarter of 2011 was $900,000; its worth noting that in the prior year quarter, we had principal transactions and other revenue of $3 million primarily from gains on our investments in the first Deep Value fund which was substantially liquidated in 2010. Our total operating expenses for the third quarter of ’11 of $28.7 million were up $5 million or 21% from the prior year period when excluding the impairment of goodwill charge in 2010. The increase includes a $5.6 million increase in compensation and benefits and a $600,000 increase in business development, occupancy and equipment expenses. The increases primarily reflect the incremental cost of the PrinceRidge and JVB acquisitions. In the third quarter, we had not yet fully realized the impact of the steps taken to eliminate duplicative costs arising from the PrinceRidge acquisition and our overall cost cutting measures. The increases in expenses were partially offset by a decrease of $1.3 million in the professional services and other operating expense line item. As Daniel mentioned, we continue to focus on controlling all discretionary operating expenses and have implemented significant cost cutting measures expected to save the company over $10 million annualized. In the third quarter of ’11, we incurred costs of $1.8 million related to these initiatives which included employee severance and termination payments of $1.2 million, lease termination cost of $500,000 and other contract termination costs of $100,000. As for our balance sheet, again we had $65 million of net equity capital invested in our net trading portfolio at the end of the quarter, which consisted of assets of $137 million of trading securities and $39 million of receivables under resale agreements, offset by liabilities of $40 million of payables to brokers, dealers and clearing agents, $67 million of trading securities sold, not yet purchased and $43 million of securities sold under agreement to repurchase. The other investments at fair value line item consists primarily of our seed investments in sponsored and managed investment vehicles, the $44.6 million fair value includes $38.2 million related to our investment in Star Asia finance, the remaining $6.4 million represent investments in various other permanent capital vehicles and sponsored investment vehicles. At September 30th, our consolidated corporate indebtedness was carried at $40.8 million. We believe that our unrestricted cash balance of $25.6 million combined with the $65 million invested in our trading portfolio is sufficient to fund our near term business model. As Daniel noted, despite the current quarter loss, we are choosing to continue to return value to our shareholders through a $0.05 dividend for the quarter. We will carefully review our dividend policy in the coming quarters if the unfavorable market conditions continue. The dividend is payable on December 06 to stockholders of record on November 22nd. As announced previously, we completed an exchange offer for our outstanding 7.625% Contingent Convertible Senior Notes; of the $19.5 million of previously outstanding Old Notes, $7.6 million were tendered for exchange and an additional $500,000 were exchanged in a privately negotiated transaction. We now have $11.4 million of our 7.625% notes and $8.1 million of our 10.5% new convertible notes. Again, the purpose of the exchange and exchange for the higher interest rate in new notes have an initial hold or redemption date of May 2014 instead of May 2012. And finally, in mid August we did repurchased 647,701 shares of our own common stock from an unrelated third party in a privately negotiated transaction. The aggregate purchase price was approximately $1.5 million representing $2.25 per share. We purchased the shares using cash on hand. We expect to file our 10-Q no later than this Friday, November 11th. With that, I’ll turn it back over to Daniel for some closing remarks before we take questions.
Daniel Cohen: Thank you very much Joe. Thank you very much John. Well, obviously we are disappointed with the results the marketplace was difficult as we all know during the third quarter of 2011. We are pleased that we've already taken many of the steps to address our operating model, put our operating model on as marginal cost basis as possible and anticipate potential periods of lower revenue while putting ourselves in a position in the slower revenue environment to make money to increase our net income and to return capital and value to our shareholders as we both maintain our operating posture and maintain what we think is great optionality for market that will come back at some point in the future. So with that, if I can turn it back to Melisa, if I can just ask for questions.
Operator: (Operator Instructions) At this time, there are no questions. I’ll turn the call back to Mr. Cohen.
Daniel Cohen: Okay. Well thank you everybody for participating and listening to our conference call. We are always available to hopefully address questions and we believe we will be certainly reporting better results as we move forward. Thank you.
Operator: Thank you for participating in today’s conference call. You may now disconnect.